Operator: Hello everyone, and welcome to the 1stdibs Second Quarter 2024 Earnings Conference Call. Please note that this call is being recorded. [Operator Instructions]. I'd like to hand over the call over to, Kevin LaBuz, Head of Investor Relations. You may begin.
Kevin LaBuz: Good morning, and welcome to 1stdibs Earnings Call for the Quarter Ended June 30, 2024. I am Kevin LaBuz, Head of Investor Relations and Corporate Development. Joining me today are Chief Executive Officer, David Rosenblatt, and Chief Financial Officer, Thomas Etergino. David will provide an update on our business, including our strategy and growth opportunities, and Tom will review our second quarter results and third quarter outlook. This call will be available via webcast on our Investor Relations website at investors.1stdibs.com. Before we begin, please keep in mind that our remarks include forward-looking statements, including but not limited to, statements regarding guidance and future financial performance, market demand, growth prospects business plans, strategic initiatives, business and economic trends, including e-commerce growth rates and our potential responses to them, international opportunities and competitive position. Our actual results may differ materially from those expressed or implied in these forward-looking statements as a result of risks and uncertainties, including those described in our SEC filings. Any forward-looking statements that we make on this call are based on our beliefs and assumptions as of today, and we disclaim any obligation to update them except to the extent required by law. Additionally, during the call, we'll present GAAP and non-GAAP financial measures. A reconciliation of GAAP to non-GAAP measures is included in today's earnings press release, which you can find on our Investor Relations website, along with the replay of this call. Lastly, please note that all growth comparisons are on a year-over-year basis, unless otherwise noted. I will now turn the call over to our CEO, David Rosenblatt. David?
David Rosenblatt: Thanks, Kevin. Good morning and thank you for joining us today. In the Q2, we delivered GMV and revenue at the high end of guidance and adjusted EBITDA margins above the high end. Moreover, we are pleased to report a return to growth after eight challenging quarters, marking a significant turning point for the business. In addition, we recorded a number of positive developments over the past quarter, a sequential increase in the number of active buyers for the first time since late 2021, improving conversion for both new and returning buyers, accelerating order growth and ongoing adjusted EBITDA margin improvements. Growing GMV and revenue at a time when syndicated credit card data shows that the broader online furniture and premium furnishings markets are contracting is validation that our strategy is working. It also shows that cost reductions have not come at the expense of growth. The actions we took in 2022 and 2023 to lay the groundwork for future financial success, streamlining operations, reengineering costs and narrowing our focus to the highest ROI opportunities continue to pay off. Increasing conversion is our highest leverage activity, and we are pleased to report the third consecutive quarter of conversion rate growth. Returning buyer conversion hit a record high, and new buyer conversion grew double digits. Even with this progress, there is significant headroom to increase conversion, grow orders and expand our active buyer base. We are optimistic for three reasons. First, conversion rates in the second quarter were approximately 20% below their peak at the height of the pandemic e-commerce boom. Over time, we believe that conversion can exceed this high watermark. Achieving record returning buyer conversion rates in the second quarter offers an early proof point. Second, U.S. Luxury home sales are still more than 10% below pre pandemic levels according to data from Redfin. Because home sales are a trigger for furniture purchases, we expect to benefit as the luxury housing market recovers in the future. Third, approximately 2/3rd of our GMV is furniture, a category which saw a substantial demand pull forward during the pandemic. However, furniture is a durable good with a replacement cycle. While purchases can be deferred, they cannot be deferred indefinitely. As we move further away from the pandemic boom, we expect demand to build. We are improving performance in spite of the fact that the market has not recovered yet. The improvements we are making to the business in this period of soft demand position us well to maximize growth when the market recovers. Growth rates improved in the second quarter with both GMV and revenue inflecting positively. Orders grew 5% helped by continued conversion improvements and increased performance marketing investments as targeting optimizations and higher conversion enabled us to increase investment while maintaining efficiency thresholds. Average order value and traffic remained headwinds to GMV growth consistent with recent quarters. We expect further conversion gains and order growth in the third quarter. However, we anticipate that average order value headwinds will temporarily intensify due largely to lapping onetime factors from 2023 that Tom will detail. Returning to funnel dynamics, traffic headwinds were stable sequentially with performance marketing optimizations and higher performance marketing investment offsetting softer organic traffic. We ended the quarter with approximately 70% of traffic from organic sources and 30% from paid. Our performance demonstrates that our revamped AB testing program and accelerated product velocity are velocity are paying dividends. The number of tests we ran in the second quarter grew over 150%, a record high, helping drive order growth and conversion improvements. Our product road map is focused on these three areas: personalized and frictionless buying, competitive inventory pricing and scalability. We made progress in all three areas during this quarter. For example, we scored our largest AB test win since revamping our program in mid-2023. In May, we expanded the 1stdibs promise and tested promoting it more prominently. This resulted in higher checkout entry and checkout completion rates, ultimately generating more orders. We also made progress giving sellers actionable insights to drive conversion. In April, we introduced our seller recommendations page and listing optimization score features. The goal of these is to provide sellers with tactics to increase sell through based on our proprietary analytics and first-party transactional data. These recommendations include actions like add to sale, add automated offers, lower list price, and add to auction. To increase visibility, engagement, and adoption of our recommendations, we created a centralized recommendations page in the seller dashboard with an individual optimization score for each seller to prioritize recommended actions based on estimated conversion uplift. Early results have been encouraging with sellers who increased their account-level optimization score seeing an increase in conversion on average. We also made progress on our makeover flow, which represents a potentially rich vein to tap. Given the highly considered nature of our listings, many orders involve negotiations between buyer and seller. In fact, over 40% of orders originate as buyer initiated negotiations. In June, we completed our 1st make offer test. Our objective was to make this process more seamless, ultimately driving more orders and higher conversion. Based on our learnings from the June test, we have four additional make offer tests slated for the coming months. Conversion is a game of incremental improvements that compound and snowball over time. We believe our snowball is starting to gain momentum. We also scored a large infrastructure win. While we are constantly iterating on our buyer and seller experience, we are also committed to maintaining a stable, scalable infrastructure. During the quarter, our engineering team upgraded our routing infrastructure, which increased site speed and reduced error rates. Our pre/post analysis suggests a double digit latency improvement for our product and search and browse pages, making the site more performant. Over time, we expect to see this translate into higher organic traffic, conversion improvements and more orders. The net effect of these wins is that we exited the quarter with a better buyer experience, a better seller experience and better performing infrastructure. Turning to supply, we continue to see consistent listing growth, ending the quarter with over 1.8 million listings, up 6%. As expected, we saw an uptick in the number of churned sellers due to our new pricing structure and inventory minimum requirements. This is a result of our decision in the fourth quarter of 2023 to revise our seller acquisition and monetization approach to focus on sellers with higher engagement. We are seeing this shift pay off in the form of higher take rates. We ended the quarter with approximately 7,450 unique sellers, down 5%. The majority of churn was initiated by us due to low engagement or performance on behalf of sellers we churned. In total, the churn cohort only accounted for approximately 50 basis points of GMV over the trailing 12 months and less than 2% of listings. While we anticipate some volatility in unique seller count through 2024 as we lap inventory minimums and pricing changes, we expect continued listing growth. We also made significant strides on the capital allocation front, completing our $25.2 million share repurchase program in June. We believe that this will be accretive in the long run given the size of our opportunity, the fact that we are well positioned to capitalize on a market recovery and that we executed the program at a discount to our assessment of intrinsic value. While the luxury home furnishings industry is still contracting, we are hopeful that the worst of the down cycle for this market segment is now behind us. As a leader in our category, we expect to benefit disproportionately when market growth resumes. Our roadmap is focused squarely on this. The progress we have made on conversion, orders, and top-line growth signify that our roadmap and strategy are bearing fruit. Given the operating leverage in our model, returning to growth was the first step towards profitability. Our mission now is to accelerate and sustain growth, improve margins and ultimately generate growing free cash flow. While this will play out over years, we are encouraged by recent progress. Thank you for your continued support. I will now turn it over to Tom to review our second quarter financial results and third quarter outlook.
Thomas Etergino: Thanks, David. We delivered GMV and revenue at the high end of guidance and adjusted EBITDA margins above the high end. We also returned to top line growth for the first time in two years. GMV was $91.5 million up 2% with growth rates increasing seven percentage points sequentially. While we continue to see soft demand for luxury home goods and syndicated data suggests that the broader online furniture and premium furnishings markets are contracting, we believe that the worst of the down cycle is now behind us. GMV growth was propelled by double-digit conversion gains offset by continued traffic and average order value headwinds. Encouragingly, this was our second consecutive quarter where conversion increased for both new and returning buyers and the third consecutive quarter of overall conversion growth. Going deeper, returning buyer conversion hit a record high and new buyer conversion grew double digit year-over-year. We are confident in our roadmap and see ample headroom to increase conversion rates over time. This confidence is bolstered by the recent success of our AB tests and newly launched product enhancements. Average order value of approximately $2,700 was down 3%. Median order value of approximately $1200 was down 2%. Similar to the first quarter, we saw a slight mix shift to orders under $2,000 Lastly, orders over $100,000 accounted for approximately 4% of GMV, in line with our historical range of 3% to 5%. Consumer GMV and Trade GMV grew at similar rates, with Trade returning to growth for the first time since mid-twenty 22. Turning to verticals, art, fashion and vintage and antique furniture all posted GMV growth. We ended the quarter with approximately 61,200 active buyers, down 6% year-over-year, but up 1% sequentially. Because active buyers are a trailing 12-month metric, they are a lagging indicator. However, we see order growth as a leading indicator of future active buyer growth. On this front, we expect continued order growth in the third quarter based on quarter-to-date trends. On the supply side of the marketplace, we closed the quarter with approximately 7,450 unique sellers down 5%. However, we experienced steady listings growth ending the quarter with over 1.8 million listings, up 6%. The decline in the number of unique sellers was due to higher than usual churn. The majority of it initiated by us related to recent policy changes. This churn had a de minimis impact on GMV and listings. While we anticipate some volatility to unique seller counts in 2024 as we cycle through the introduction of inventory minimums, changes to commissions and the launch of monthly minimum subscription fees, we expect persistent listings growth throughout the year. Turning to the P&L, net revenue was $22.2 million up 6% marking the first quarter of revenue growth since early 2022. Transaction revenue, which is tied directly to GMV, was approximately 75% of total revenue with subscriptions making up most of the remainder. Take rates improved modestly due to a combination of several factors including higher proportion of orders below our $25,000 commission break, growing GMV contribution from essential sellers, which carry a higher commission rate and a revised commission break structure that went into effect late in the fourth quarter of 2023. Gross profit was $15.9 million up 9%, driven by revenue growth and cost reductions. Gross profit margins were 72%, up approximately two percentage points primarily driven by lower headcount related expenses as a result of our restructuring initiatives, partially offset by the impact of the annual merit increases awarded in March. Sales and marketing expenses were $9.3 million down 5%, driven by lower headcount related expenses as a result of our restructuring initiatives, partially offset by higher performance marketing investment and the impact of the annual merit increases awarded in March. Sales and marketing as a percentage of revenue was 42%, down from 47% a year ago. Technology development expenses were $5.5 million down 21%, driven by lower headcount related costs as a result of our restructuring initiatives, partially offset by the impact of the annual merit increases awarded in March. As a percentage of revenue, technology development was 24%, down from 33%. General and administrative expenses were $6.9 million down 8%, driven primarily by lower rent expense attributable to the sublease of our former headquarters at 51 Astor Place and lower insurance costs, partially offset by the impact of the annual merit increase awarded in March and severance expenses. As a percentage of revenue, general administrative expenses were 31%, down from 36%. Lastly, provision for transaction losses were approximately $800,000, 4% of revenue flat year-over-year. We continue to manage operating expenses with discipline. Total operating expenses were $22.4 million down 10%, reflecting the benefit of cost reductions. Adjusted EBITDA was a loss of $1.6 million compared to a loss of $4.6 million last year. Adjusted EBITDA margin was a loss of 7% versus a loss of 22% last year due to savings from cost reductions and a return to revenue growth. This was our best result as a public company for adjusted EBITDA dollars and margins. During the second quarter, adjusted EBITDA benefited by approximately $250,000 and favorable one-time items regarding our lease and the conclusion of a sales tax audit. Moving on to the balance sheet, we ended the quarter with a strong cash, cash equivalents and short term investments position of $111 million. The sequential decline was largely driven by our share repurchase program. During the quarter, we repurchased $19 million of shares, upsizing and completing the program. Since inception in August of 2023, we repurchased approximately 4.9 million shares for a total of $25.2 million. Turning to the outlook. Our guidance reflects quarter to date results and our forecast for the remainder of the period. We forecast third quarter GMV of $84 million to $91 million down 6% to up 2% net revenue of $20.8 million to $22.1 million up 1% to up 7% and adjusted EBITDA margin loss of -15% to -10%. Our GMV guidance reflects typical seasonal softness. Historically, we see GMV decline by approximately 2% to 4% in the third quarter versus the second quarter. While we expect to see continued conversion rate improvements and order growth, we also anticipate a temporary intensification of average order value headwinds as we lap a record quarter for high-value sales. In the third of 2023, we had a record 8% of GMV from orders over $100,000 including a handbag that sold for over $1 million and several high value jewelry purchases. Historically, orders over $100,000 account for 3% to 5% of total GMV. We expect these pressures to be one time in nature and to normalize in the fourth quarter. Our revenue guidance reflects modest take rate expansion due to a number of factors, including updated commission tiers, a higher mix of orders under our commission break, a higher mix of GMV from our essential sellers and instituting a minimum monthly subscription fee for new sellers. Lastly, adjusted EBITDA margin guidance reflects gross margins in the range of 71% to 73%, lower revenue on a sequential basis due to the aforementioned seasonality and temporary AOV headwinds, and that sequentially we expect operating expenses to increase modestly due to planned hiring and backfilling open roles and mailing our semi-annual catalog. However, we are expecting minimal net headcount growth in 2024. Lastly, as a reminder, during the second quarter, adjusted EBITDA benefited from approximately $250,000 in favorable one-time items regarding our lease and the conclusion of a sales tax audit. Over the past few years, we have improved monetization, expanded gross margins and meaningfully reduced our operating expenses. This quarter marks another significant milestone as we resumed growth. This quarter represented the third consecutive quarter of conversion rate growth, a return to year-over-year order growth and quarter-over-quarter active buyer growth, and our best adjusted EBITDA margins as a public company. These developments show that our strategy is working. We are making meaningful progress and are committed to driving further improvements. While challenges remain for the luxury home goods and high-end discretionary market, we are gaining market share and are optimistic about our trajectory. There's still work to be done, but our team's dedication gives us confidence in our ability to deliver sustained growth and profitability in the future. We appreciate your continued support and look forward to updating you on our progress in the coming quarters. Thank you. I will now turn the call over to the operator to take your questions.
Operator: Thank you. [Operator Instructions]. Our first question comes from Nick Jones from Citizens JMP Group. Your line is now open.
Nick Jones: Hi. This is, Luke on for Nick. Thanks for taking our questions. I guess, first, it was a really solid quarter. You returned to GMV growth and saw what seems to be positive trends across various business metrics. I know you mentioned some seasonality in AOV headwinds, but could you just provide some additional color on what went into the 3Q guide, particularly given such a solid 2Q you just had? Thanks.
David Rosenblatt: Hey, it's David. Thank you for that. We were happy with the second quarter, and we're actually happy with our prognosis for the third quarter as well. What's going on in the third quarter in GMV is that we're comping a quarter last year with an unusually high cluster of high average order value orders. So we typically average around 3% to 5% of our orders at $100,000 plus, and this quarter last year, roughly or GMV, roughly 8% of our GMV was $100,000 plus We don't expect that to continue past the third quarter and outside of that, at the midpoint of guidance, we're still projecting that orders will grow, active buyers will grow and revenue will grow.
Nick Jones: Makes sense. And then active buyers stabilized a bit in 2Q. It grew sequentially. Is that a trend we can kind of expect to continue going forward or should we still expect some choppiness near term?
Thomas Etergino: Yes, this is Tom. I'll take that. So, yes, active buyers did grow sequentially 1%. Kind of reminding you that's a trailing 12-month metric. So it is a lagging indicator. Order growth, which is a leading indicator of active buyer growth, we saw 5% year over year and yes, to answer your question, we do expect to see continued order growth in third quarter, which would convert into active buyer growth.
Nick Jones: Okay. And maybe if I can just fit one more in on macro. I understand that there are still some pressures, but you mentioned last call that demand metrics were recovering across the board. Is that still the case? And what are your expectations for the back half of this year, particularly given the increased likelihood of rate cuts? Thanks.
David Rosenblatt: Yes, I mean, I think the macros based on the syndicated data that we saw for last quarter said that our core market for luxury furnishings was down mid to high single digits and compared to that, on an order basis, we were up 5% and, of course, we were up also on a GMV basis. So, we do feel pretty good that we're outperforming a weak market right now. As we look forward, again, I'm not a macro economist. I mean, if interest rates go down that should be a positive driver for us, right, because it should stimulate more activity in the real estate market. Tom, I don't know if you have anything to add on that?
Thomas Etergino: No, I think you covered it.
Nick Jones: Great. Thank you.
Operator: As of right now, we don't have any raised questions on the screen. We are now closing the Q&A. [Operator Closing Remarks].